Craig Marshall: Well, good morning, everyone, and welcome to BP's Second Quarter 2023 Results Presentation. I'm here today with Bernard Looney, Chief Executive Officer; and Murray Auchincloss, Chief Financial Officer. Before we begin today, let me draw your attention to our cautionary statement. During today's presentation, we will make forward-looking statements that refer to our estimates, plans and expectations. Actual results and outcomes could differ materially due to the factors we note on this slide and in our U.K. and SEC filings. Please refer to our annual report, stock exchange announcement and SEC filings for more detail. These documents are available on our website. I'll now hand over to Bernard.
Bernard Looney: Well, good morning. Thanks, Craig, and good morning to everyone. Thanks for joining us, either physically in the room here or online. Earlier this morning, we reported our second quarter 2023 results, and I hope that you see continued evidence of our strategy in action, a strategy that is focused on delivering long-term shareholder value. We've now been in action for over three years. We set our direction in 2020, we completed our restructuring in 2021, and since then, we have been focused on delivery and on execution.  Let me highlight a few things, if that's okay, before I turn it over to Murray. First, we delivered resilient operational and financial performance in the second quarter with good cash delivery. During a period where significant turnaround activity and weaker margins impacted our refining business, the underlying business continued to perform well. And looking forward, the outlook for the second half of the year, which I'm sure we'll talk about, remains strong. And I will talk a little bit more in a few moments about that. Second, we are progressing our strategy at pace. We are investing in today's energy system and, not or, something that you will hear repeatedly from us because it defines our strategy, and, not or strategy. And not or, we are investing with discipline across our five transition growth engines to help accelerate the energy transition. This continued growth underpins our confidence in delivering our 2025 targets. Third, we are growing distributions for our shareholders. Today, we have announced a 10% increase in the quarterly dividend per ordinary share and a further $1.5 billion share buyback. These decisions are consistent with our continued focus on disciplined delivery against our unchanged financial frame, and they reflect the confidence in our performance, the confidence in the outlook for cash flow and the progress that we have made in reducing our share count. And Murray will obviously return to this later. Let me say a few more words about performance, starting with the strong momentum in resilient hydrocarbons. For the first half of 2023, BP-operated Upstream plant reliability was 95%. And compared to the first half of 2022, our Upstream production grew by over 3%, while at the same time, unit production costs fell 9%. We had two project start-ups in the first half, Mad Dog Phase 2 in the Gulf of Mexico and KGD6-MJ in India.  Together, they are expected to add around 90,000 barrels a day of oil equivalent net production by 2025. Two more start-ups are expected in the second half of this year, Tangguh expansion where start-up is now actually in progress, and Seagull, and GTA Phase 1 is now expected to start up during the first quarter of 2024. All in all, we remain confident in delivering around 200,000 barrels a day of oil equivalent of high-margin production from new projects by 2025.  In BPX, first half production was around 9% higher year-on-year. And in the third quarter, we expect the start-up of our central -- second central processing facility in the Permian, further derisking our target of 30% to 40% production increase by 2025 relative to 2022. Looking to the future in oil and gas, we are strengthening our resource base. In the Gulf of Mexico, we progressed our Kaskida project to concept selection and are also evaluating options to progress the Tiber project. Both of them are 100% BP, both of them are in the Paleogene. We also acquired 36 leases in the recent Gulf of Mexico lease sale and drilled a successful appraisal well in the southwest part of the Mad Dog field. We continued building growth optionality in our global gas portfolio, including agreeing to acquire a further 27% interest in the Browse project.  In LNG, we are growing supply. Our third-party offtakes have made good progress with 15 cargoes loaded from Coral and from Freeport, which is now back to full contractual offtake. And with additional volumes expected from the start-up of Tangguh, Train 3, we remain confident of delivering our 25 million tonnes per annum of supply in 2025. And finally, we're upgrading our refining infrastructure, including successfully commissioning two improvement projects at Cherry Point in the U.S., which are expected to improve availability, reduce costs and reduce emissions. They say a picture is worth a thousand -- Irish for a moment, they say a picture is worth a thousand words. And this one certainly does that. And Murray and I saw this, and we said we've got to get this in the pack. This is our Tangguh expansion project in Indonesia. And you can see the third train there right in the center of the photograph. And it's a great example, we think, of us delivering on our strategy, what I like to call another shovel in the ground. This major project adds a third LNG train and around 3.8 million tonnes per annum of producing capacity to the existing 7.6 million tonnes per annum facility. Construction and commissioning of the project have been completed. And as I said earlier, start-up is now in progress in the facility. And it's an important delivery milestone, contributing towards our target of 200,000 barrels of oil equivalent per day of high-margin production from new major projects in '25 and our LNG target of 25 million tons of supply per annum in 2025. And having recently extended the production sharing contract in Tangguh to 2055 and with work underway to further grow our gas production and make Tangguh one of the lowest carbon intensity LNG facilities, we're really excited for the future of this key asset. Now turning to the progress -- significant progress, I think, we've made in building our five transition growth engines, what we call our TGEs during the first half. First, to the growth in our convenience business. In May, we completed the acquisition of TravelCenters of America, TA, adding a network of 288 sites strategically located on major highways across the United States. [Indiscernible] gave me a map of this that I have on my desk, and it really is phenomenal to look at because you see the extensive highway network in America. And now we have dots and sites on virtually every one of them in 44 states.  And TA is expected to almost double BP's global convenience gross margin and bring growth opportunities in four of our five transition growth engines. And in the first half, excluding TA, we delivered record convenience gross margin with around 7% year-on-year growth. That's on top of, I think, a 9% per annum over the previous three years. In EV charging, we are rapidly building scale and demonstrating emerging profitability. For the first half, energy sold rose by over two times, Murray and I say it's actually close to 3 times year-on-year, supported by a 70%, so almost 3 times increase in power, a 70% increase in the number of EV charge points, which obviously means that utilization is going up. And in the second quarter, our JV with Didi in China, which is our largest market, and our business in Germany were both EBITDA positive. And we recently sanctioned $500 million of investment in the United States over the next two to three years to begin infrastructure build-out there, including at the sites that I just mentioned at TA. In bioenergy, you guessed it, we are growing. In biofuels, we produced more than 10% growth year-on-year, and we continue to target final investment decisions on the first of our five biofuels projects by year-end. And in biogas, we continue to work on safely integrating Archaea Energy into BP. We continue to grow our pipeline in hydrogen projects, underpinned by new projects in the United States and in Oman. The pipeline has increased by 60% since the end of 2022 to reach 2.8 million tonnes per annum, well underway to delivering our target of doubling our pipeline by the end of the year. And finally, we have strengthened our renewables and power pipeline, growing our renewables pipeline to 43.6 gigawatts net to BP, and that includes our recent offshore wind award in Germany. So let me say a little bit more about that one. We have been awarded the rights to develop two offshore wind projects in the recent German tender round, marking our entry into offshore wind in Continental Europe.  Now these two projects have a total potential generating capacity of 4 gigawatts and they grow our offshore wind pipeline globally to 9.3 gigawatts net to BP. Now importantly, in Germany and in the region, BP has a demand of around 5 to 10 gigawatts just from our own operations of renewable power in the 2030s. And that's as we scale up green hydrogen, as we scale up biofuels production, as we scale up EV charging and as we decarbonize the two refineries that we have on the ground there. So the first thing is we have a large green electricity demand ourselves, 5 to 10 gigawatts.  At the same time, the region is, and we forecast it to be short of green electrons in that time period. And we expect this offshore wind capacity to, one, provide us secure access to the electrons we need, and two, to do it cheaper than we can buy them on the market. And as our focus is on securing access to the renewable power as opposed to full long-term asset ownership, we will pursue a very capital-light delivery approach, bringing in a partner through farmdown around the point of final -- in our financial investment decision. And we expect, of course, to leverage the project with financing. We're confident, as you would expect -- very confident, I would say, in achieving 6% to 8% unlevered returns, and that's before integration benefits. And we will enhance these returns further through integrating across the energy value chain, leveraging Carol's trading and shipping business to optimize value. And we believe our bid benchmarked positively compared to other lease auctions, acknowledging, of course, the importance of the timing of payments and other factors like the delivery of the offshore grid connection.  And as a reminder, and I'm sure probably everyone in this room already knows, but as a reminder, the structure of the bid payments limits our financial exposure with EUR678 million upfront and then that's 10% of the bid amount that's paid by the middle of next year. And the remaining 90% starts when production starts in the 2030s and beyond and is paid over a 20-year period when the projects become operational. And then in Germany, the grid connection is provided by the transmission systems operator with compensation to the developer for any grid delays. So we're delighted. We're really excited about this win. It's fully aligned with our integrated energy strategy. It's in a core market for BP, where we intend to continue to grow our business. So taken together, across resilient hydrocarbons and the TGEs, I hope you will agree, I hope you might agree that what you see from BP is evidence of our strategy in action, underpinning the confidence we have in the operational and financial momentum we expect through the rest of the year and as we work towards achieving our 2025 targets. And with that, enough for me. Let me hand over to Murray to take you through the second quarter results. Murray?
Murray Auchincloss: Super thanks, Bernard, and good morning, everybody. Let me start with our second quarter results. We reported an underlying replacement cost profit of $2.6 billion compared to $5 billion last quarter. Compared to the first quarter in gas and low carbon energy, the result reflects an exceptional gas marketing and trading result, albeit lower than the first quarter and lower gas realizations.  In oil production operations, the result reflects lower realizations. And in customer and products, the products result reflects significantly lower realized refining margins, primarily due to middle distillate margins -- weaker middle distillate margins and narrower North American crude heavy differentials, a significantly higher level of turnaround and maintenance activity, including a planned full site turnaround at Lingen, and a weak oil trading result. The customer's result reflects stronger retail margins and seasonally higher volumes and a stronger convenience performance, partially offset by foreign exchange. Turning to cash flow. Operating cash flow was $6.3 billion in the second quarter. This includes a working capital release of $100 million. Capital expenditure was $4.3 billion, including inorganic expenditure net of adjustments of $1.1 billion related to the acquisition of TravelCenters of America. During the quarter, we repurchased 2.1 billion of shares and the 1.75 billion program announced with first quarter 2023 results was completed on July 28. In the second quarter, BP surplus cash flow was an outflow of $300 million and at the end of the second quarter, net debt was $23.7 billion. Moving to our disciplined financial frame. Our five priorities and guidance remain unchanged. We have today announced a dividend increase of 10% for the second quarter to $7.27 dividend per ordinary share. The dividend remains our first priority and is underpinned by a cash balance point of $40 Brent, $11 RMM and $3 Henry Hub. We remain committed to maintaining a strong investment-grade credit rating and we are targeting further progress within the A-grade credit rating. However, we have no intention to target a AA rating.  As a result of our strong surplus cash flow generation over the last four quarters, we have executed over $10 billion of buybacks and have reduced our issued share count capital by over 9%. BP remains committed to using 60% of 2023 surplus cash flow for share buybacks, subject to maintaining a strong investment-grade credit rating. Consistent with this, we have announced a further $1.5 billion share buyback to be completed prior to reporting third quarter results. Today's dividend increase and our ongoing buyback program reflects the confidence we have in our performance and the outlook for cash flow and also reflects the progress we have made in reducing our share count.  Looking forward, based on BP's current forecast at around $60 per barrel Brent and subject to the board's discretion each quarter, BP continues to expect to be able to deliver share buybacks of around $4 billion per annum at the lower end of the $14 billion to $18 billion capital expenditure range and have capacity for an annual increase in the dividend ordinary share of around 4%. In setting the dividend per ordinary share and buyback each quarter, the Board continues to take into account factors including the cumulative level and outlook for surplus cash flow, the cash balance point and the maintenance of a strong investment-grade credit rating. Finally, we're enhancing disclosure for our transition growth engines. Starting this quarter, we will report CapEx and EBITDA on a biannual basis for each of the five engines. We expect to grow EBITDA from these businesses from around $700 million in the first half of 2023 to $3 billion to $4 billion in 2025 driven by bioenergy, convenience and EV charging.  In bioenergy, we expect to deliver around $2 billion of EBITDA in 2025 compared to the first half of 2023 in biofuels, we expect to double production to 2025 to around 50,000 barrels per day, including growth in co-processing at our existing refineries. And in biogas, we expect to double production to 2025 to around 40,000 barrels of oil equivalent per day, underpinned by the delivery of the Archaea Energy pipeline and growth in third-party offtakes. In convenience, we are targeting $1.5 billion of EBITDA in 2025. We expect TA to contribute around $800 million of EBITDA by 2025, the majority from convenience. We also expect to further expand our network of strategic convenience sites, reaching around 3,000 by 2025 from around 2,750 today. And in EV charging, we expect to be EBITDA positive by 2025 as we accelerate the rollout of rapid and ultrafast EV charge points and drive a material increase in energy sold. This disclosure is an important part of our commitment to reinventing BP, providing greater transparency around the progress we are making as we invest and grow these businesses. With that, let me hand back to Bernard.
Bernard Looney: Your section was quite long today, Murray, longer than usual.
Murray Auchincloss: It's hard to keep up with you.
Bernard Looney: Thanks, Murray. So let me wrap up, and then we'll go to questions. So we are delivering resilient operational and financial performance and we see strong momentum through the second half of the year. We are delivering our strategy at pace and with confidence. And importantly, we're delivering against our disciplined financial framework, including offering compelling distributions for shareholders. This focus on delivery, and it is absolute focus on delivery, is serving us well and underpins our investor proposition to deliver long-term shareholder value.  And finally, the BP team and myself and I are looking forward to hosting a number of you in Denver in early October, where we'd like to share more with you about our strategy in action, particularly focused on the oil and gas business and on our biogas business. And with that, we will turn it over to you and go to questions. So that's where we start.
A - Bernard Looney: Maybe we'll start with Biraj over here, if that's okay.
Biraj Borkhataria: It's Biraj Borkhataria, RBC. Two questions, please. The first one, just on the dividend. I think the 10% bump is probably a quite a nice surprise for investors. I guess when I spoke to Craig this morning, he referenced in relation to the 9% share of reduction in the last year. And I guess you have two sources of growth for the dividend per share. One is you're buying back and the other is the underlying growth in the business, so as Murray you mentioned, the balance point. So should we expect you to review your dividend going forward twice a year in those two things separately? Or is it an annual review going forward with those two items put together? And then second question is on the credit rating, which you've reiterated your intentions to move up one notch today. I was wondering if this has any bearing on the working capital release you expect, because obviously one of the advantage of the stronger credit rating is less collateral as you're hedging gas oil and so on. But that -- what you're referring to for second half this year and early 2024, if you -- is the current guidance -- is the credit rating upgrade embedded in the current guidance? Or would you expect a material change if you were to get a cutting rating on top of what you've already said? Thank you. 
Bernard Looney: Very good, Biraj. Just to clarify, on the credit rating, we didn't say we were going up a notch today. We're saying we're not targeting AA. We want to make continued progress in the ratings. So there's no upgrade to our expectations around that, other than to clarify that we are not seeking a AA rating. Murray, maybe I'll make some comments at the end, but dividend twice yearly review and the credit rating.
Murray Auchincloss: Yes. I think -- Biraj, good morning. I think the way to think about it is look back in history. Obviously, the Board reviews the dividend each and every quarter and makes a dividend decision each and every quarter. So I can't guide on forward thinking, but all I can do is reflect on the last moves we've made. So if you rewind back to the second quarter of 2022, we increased the dividend 10%. That was primarily related to share count reduction, but also the ongoing strength of the underlying delivery of the business.  Fast forward to February of 2023, we increased capital guidance and transition growth engines and capital guidance inside the upstream as well and with that came additional earnings. That 10% dividend increase was based on our forecast of future cash flows and the strength we saw in the underlying business, all within a balance point of 40 and 11.3. Fast forward to today, we've had a 9% share count reduction over the past 12 months.  That easily enables a 10% dividend increase without changing the absolute level of the dividend. But of course, as Bernard has talked about, there's incredible strength in the underlying business itself with Mad Dog doing very well, new projects coming online, BPX growing, et cetera. So we have both great performance and we've got the share count reduction that we're reflecting in this 2Q decision.  Looking forward, the Board reviews the dividend each and every quarter and makes decisions. It will take into account where we are in the balance point, where we see the future outlook over the next few years and, of course, share count reduction. But it's a decision every quarter. I can't guide on anything different than that. As far as the credit rating, that's our second priority, is managing the balance sheet. Obviously, we're on a minus-positive outlook right now with S&P. We continue to think about an upgrade over time. But that's really a decision for S&P to make, not for us to make. We believe our metrics are in very good shape.  We believe they're above their hurdles of cash cover ratio to receive that upgrade. And we'll keep working with S&P to try to explain our business and ensure we get that grade as we disclosed today. We would like further progress in the A range, but we are not chasing a AA rating that is inefficient from a balance sheet perspective in our mind and inefficient for shareholders. So hopefully, that helps answer that question, Biraj.
Biraj Borkhataria: And the working capital?
Murray Auchincloss: The working capital is -- so if you think about cash outflow, an inflow for the year, in the first half of the year, obviously we've had a working capital build that's primarily related to the Deepwater Horizon. As we look out at surplus cash flow for the rest of the year, we've got an awful lot of confidence in the second half of the year. You just need to go through a couple of slides that Bernard talked about, 3% underlying growth in the oil and gas business, BPX up, Mad Dog online and ramping up fast. Seagull will come on soon, Tangguh will come on soon and so on. So there's quite a bit of momentum inside the underlying business, which generates high cash flows.  At the same time, we have a release from the LNG that we hedged out last year. This is all the merchant LNG that our trading business manages. And we've been forecasting a release of $5 billion of cash flow starting in 3Q through the next four quarters. So we have a deficit in working capital in the first half of this year. We'll have a big release in working capital in the second half of the year and extending into next year as well and very strong underlying performance. And that gives us the confidence to set the buyback level. Bernard, anything you'd add?
Bernard Looney: I didn't go through all the list of things that are exciting in the second half of the year from a growth perspective. We, of course, had $0.9 billion of divestments in the first half of the year. We're still guiding to two to three full year. And of course, we had the Gulf of Mexico payment in the second quarter which will not be present in the second half of the year. So no guidance there at all other than the outlook for cash flows and performance in the second half of the year for those of you who are trying to do surplus cash calculations and all of the stuff that Murray does and all of you guys do. So hopefully, that's helpful. So where are we going next? Lydia? And then Irene, I think. And then maybe we'll go to a question online maybe, and then we'll go to this side of the room. So Lydia?
Lydia Rainforth : Thanks. It's Lydia Rainforth from Barclays. I have two questions, if I could. The first one on the cost side that you came to. And obviously, if I look at the data, BP is the only one that's a company with the large cap that's actually managed to reduce cost upstream over the last 12 months. And so can you just talk through what's driving that and particularly in the downstream if you're actually starting to see that digitalization benefit move over. The second question, and Murray, I think I need some help, and you can interpret that however you want. But in terms of the buyback, you did $1.75 billion last quarter, you're saying $1.5 billion this quarter. But you've always said, we'll look forward a look back. So that $1.5 billion, can you just help me, how did you get to that number? Because again, is it that whilst you're expecting a stronger second half, is it less strong than you were thinking about three months ago?
Bernard Looney: Very good, very good. Do you want to go to the second one first, Murray? 
Murray Auchincloss: Yes, sure. So when we assess the level of buyback, our long-term guidance is at least 60% will be -- of surplus will be distributed to shareholders through a buyback for 2023. In particular, we've guided that 60%. So in the quarter, when the Board is assessing the level of buyback, we think about what we've done in the past, $1.75 billion, as you said, in the second -- in the first quarter $1.5 billion announced this quarter. So we've done $3.25 billion so far this year.  We then look at the full year 2023 based on what we see for underlying growth in the business, the release of working capital, et cetera, et cetera. And we're thinking about a 60% buyback shareholders for the year. And I think if you do the math, you can figure out at the pricing that we saw in the first half of the year, if you have that pricing repeat in the second half of the year, you can just calculate with the 60% surplus is, and that will be relatively close to the buybacks we've done in the first half of the year. The last comment I'd make is anchor yourself, please, to our guidance, which is $4 billion of buybacks at $60 and use our rules of thumb to calculate what that buyback can be in the future. If you recalculate the first half of the year, you'll get, darn, your bang on, what we've announced for buybacks in the first half of the year based on $78 or $79 Brent for the first half of the year. So we've tried to -- we're very focused on maintaining our dividend and maintaining the balance sheet. And therefore, the buyback does move up and down with price but we've given you guardrails to estimate what it was very, very carefully. So I hope that helps, Lydia.
Bernard Looney: Great. And on cost, Lydia, I think we should be transparent. I think there is an element of portfolio in those numbers, but that's part of the cost game, so to speak. So we are very pleased that we're driving production up and driving unit production costs down. We're actually beginning to see deflation now, particularly in places like BPX where we're seeing some costs down 20%. Across the world, we're seeing things like steel costs coming down, some of the raw material costs coming down. Labor is an area where we do see inflation right across the world and that is unchanged. And we do our best to offset that with some of the productivity improvements that you alluded to.  And we are seeing some sectors being particularly tight, and you'll have seen Bay du Nord being given an extra three years. And that's just a slave to returns, a slave to capital discipline. That market is quite hot, I guess, at the moment. And we see a lot of price increases there, and we're not going to develop that project until we can meet the return thresholds that we've set out. So we'll come back to that when the market is a little calmer. And we continue to see tremendous benefits from digitization, probably not yet in the downstream. It's still early days. I think a lot of that is ahead of us as we've seen in the Upstream. It is a journey. But I was with Murray's control team during the week, Jane Hutchison. She was telling me about a new close process where we've taken out 70% or 80% of the steps in a closed process, which is extraordinary numbers achieved through automation, through digitization. Gordon is beginning now, and we're moving roles to India where we believe we can get incredible quality engineering done and do it at a lower cost. So we are beginning that journey. And I think that's a journey that's going to ramp up materially. We'll also look at that in our offshore wind space, not just in our upstream space.  So we remain excited about the journey ahead of us in productivity, not just digital but digital, for sure. And Leigh-Ann is here, and you can talk to her about that, but also things like the India conversation. And we will continue to push our teams quite hard to make sure that we offset inflation with ongoing synergies. The central procurement organization that you run Murray, I think, is bringing some real benefits as well. So we are going to stay the course on remaining cost disciplined. We will make sure that safety remains the one priority. There is no need to compromise on that and we won't. But anything you'd like to add?
Murray Auchincloss: Yes. I think just a little. AI Is all the talk these days in our Hungary business center over the past three years. We've digitized 2,000 jobs, and that's pretty extensive work inside, restructuring your data, realigning our process and then allowing automation. So it's -- we're able to absorb 2,000 new jobs coming in from the rest of the business or from expansion and then reduced jobs. So labor stays relatively constant, but you're able to eliminate 2,000 jobs just through that simple digitization we've done over the past three years. And our passion remains for this and we see it as a huge opportunity moving forward.
Bernard Looney: We are not short of opportunity in this space. We're going to keep going. Irene, and then we'll go to Paul on the phone.
Irene Himona: Thank you. Irene Himona, Societe Generale. You recently got involved in the Eastern Mediterranean. And I wonder if you can talk a little bit about the objectives, the vision, what do you wish to achieve there?  The second question, on refining. Leaving aside the margin environment, which was poor for everyone, obviously, a very heavy maintenance quarter which impacts not only throughput but also your costs. So I wonder if you can help us understand the cost in terms of ARCO forgone of your maintenance this quarter, which was unusually heavy? Thank you.
Bernard Looney: Very good. On the Eastern Mediterranean, I think it's -- at a very, very macro level, it's about the development of natural gas that's close to markets, including close to Europe. So that's -- at the very biggest level, that's what we're trying to do there. We've been in Abu Dhabi for over 60 years. They wish to expand our business internationally given the successful partnership that we've had with them over that period of time. I think we were a natural partner for them to try to do this with in this part of the world. On top of that, of course, we have a large position in Egypt.  So if you look in the region, at what we've got in Egypt, what we will have in the East Med, coupled with Abu Dhabi's ambitions, we're very excited about the development going forward of Leviathan. We're excited about further developments, potential exploration over the years ahead. So this gives us a real anchor in the Eastern Mediterranean.  There's a lot of synergies across the countries that are involved there. And I think it's a natural extension of our partnership and it's one that, I think, we hope that we can grow over time. There's a huge demand for gas both in the region and in Europe. And I think we'll look back on this as being a very, very key move for us. And we'll give further update on the progress around that transaction later in the year. And on refining, Murray may wish to add specifically on cost. If you look at -- I looked at the difference between the first quarter and the second quarter on cost. You can explain the difference between 1Q and 2Q, roughly half of it is margin degradation both in terms of diesel cracks and in WTI/WCS spread. And then of the remaining half, the majority of it is around the planned maintenance, and a little bit of it is associated with oil trading. And of course, the explanation of the maintenance includes not just the outage time but also the costs incurred in that.  Murray, anything you wish to add? 
Murray Auchincloss: Nothing to add, okay. 
Bernard Looney: I must have done okay on that. 
Murray Auchincloss: You did great. 
Bernard Looney: Okay. All right. Good. Thank you, Irene. We'll go to Paul Cheng where it's very early, I think where Paul is. So Paul, good morning. 
Paul Cheng: Good morning, Bernard. Two questions, please. On the offshore wind in the region, you are talking about how challenging the economic has become, especially look like in the Gulf of Mexico several operators, maybe including you guys, is looking for some renegotiation on pricing. Can you comment on that? And also talking about whether you see the offshore wind economics, especially in North America have become far more difficult because of the cost inflation. And secondly, that you have sort of a midcourse adjustments a couple of quarters ago on the strategy and maybe that dialed back a bit more to the traditional resilient hydrocarbon business. But you're still looking for a drop of 25% by 2030. And I think it does look like the oil demand may not peak until post 2030. So from that standpoint, does it make sense for BP to further dial back and perhaps that seeking to have a flat production means drop 25% by 2030? Thank you.
Bernard Looney: Paul, thank you for your questions. I'll have a go, and Murray will correct add and improve as appropriate. So on the second one first. So very clearly, our strategy is what we call an and not or strategy. We are investing in today's energy system and, not or, we are investing in accelerating the energy transition.  We're not making a choice between one or the other. We believe the world needs both, and we believe our shareholders are best served by us investing in both. So it's an and, not or strategy. And in February of this year, we leaned into that strategy by saying that we would invest an additional $8 billion into our resilient hydrocarbons business and an extra $8 billion into our transition growth business. In terms of oil and gas production, you'll actually have seen that we grew oil and gas production in the first half of this year. And we will see also that we've improved our outlook for oil and gas production this year from slightly declining to now expecting it to be flat year-on-year. If you look at underlying oil and gas production, we'll actually grow production through the middle of the decade and it will be relatively flat through the end of the decade.  The 25% is simply what we are achieving through high-grading our production through portfolio management. There were certain barrels within our portfolio that, quite frankly, are probably better off in someone else's hands. And that's what this is about. It is about a high-grading of our portfolio. It is about portfolio optimization. But you should expect to see, as I said, underlying growth through the middle of the decade and flattish growth through the end of the decade. And that's where we get our strategy, that's where we provide the security that the world needs, at the same time, providing the cash flows that we need our business. So that's one thing I would say on that. And then on offshore wind, clearly, inflation has impacted offshore wind projects. And in an area where the PPAs are not inflation-linked or index-linked and where we don't see an integration benefit, per se, then obviously those projects are challenged. And that's the case in the East Coast of the United States. What I can tell you categorically is that our returns threshold are sacrosanct, meaning we will not develop projects that don't meet our returns threshold, which is why we are in the midst of renegotiating those PPA contracts in the East Coast with our partner, Equinor.  And added to that, I would say, that it is, points to why our strategy going forward is to do offshore wind only where we see an integration benefit, i.e., we don't want to generate electrons just for electrons' sake or to ultimately put into a 20-year PPA.  We want to generate electrons where we can do something with the electron, add value to the electron, like we do today with an oil and gas molecule. So our expectation is that we do offshore wind, just as you've seen in Germany, where there is a direct integrated link to our business, where we can take the electron, we can hydrate it, convert it into a molecule, convert it into a powering somebody's car, give it to our trading business, whatever. That's the evolution of the offshore wind strategy. And it is in part based on the learnings of the last two or three years. Murray, anything to add on either?
Murray Auchincloss: No. Perfect.
Bernard Looney: Okay. All right. Excellent. Paul, thank you. We'll go to Oswald over here. 
Oswald Clint : Thank you very much. Maybe just going back to natural gas -- or sorry, LNG. You spoke about NewMed and ADNOC relationship. I'm curious, could this give you a participation in the ADNOC LNG expansion in United Arab Emirates? But more related to that is the Browse. Again, maybe elaborate on the strategy for taking on the rest of Browse that -- you used to have a very big CapEx number attached to it in terms of landed costs that might be at the high end relative to somewhere like the United Arab Emirates. So maybe just frame that LNG asset selection process? And then secondly, Permian, one of your peers talked about applying technology, potentially doubling recovery factors in the Permian over time. I wanted to get your thoughts on what you think you can do with your Permian asset as well? Thank you. 
Bernard Looney: Oz, thank you. Murray maybe wants to talk. He loves the Permian. So I'll let you talk a little bit about that. And then I think on the -- I don't know what we've said publicly about our Abu Dhabi LNG, so -- nothing. So let's leave...
Craig Marshall : We're in ad gas. So we are in ad gas. We've been in gas forever. Yes, they are expanding, but we can't comment on that.
Bernard Looney: And Browse, I mean, again, very simple level, Oz, think of it as a very big option. This is a very, very material gas resource that is very, very close to a market that's can be short of gas for decades to come. So at the very macro level, this was a very low-cost option that we have created here. We believe that there's great potential.  The numbers will have to work, the returns will have to work. That's what we are working on Woodside is doing a fantastic job as an operator in leading on that. But you got to look at it and say, big, big gas, close to infrastructure, close to market, got to make sense at some level. Let's see if we can make the numbers work, and that's what we're working on. And if we can, there'll be a project there. And if we can't meet our returns threshold, we won't. So that's what I would say about that. Permian or anything you want to add on the Browse one?
Murray Auchincloss: Just on the LNG portfolio itself, we have a number of very large gas basins to take forward in the second half of the decade. We'll talk about this more in Denver. Browse, 14 Tcf is enormous. Its cost of supply, if you look at WoodMac, is below U.S. export. So it's more competitive than you might think. We have M&S. We have Oman expansion, Abu Dhabi potential expansion, 22 Tcf in the Haynesville and Eagle Ford to develop. So we have a wide swath of -- more in Trinidad, more in Azerbaijan. So there's lots and lots of gas opportunity inside the resource portfolio, and we'll just be very returns-driven and choose the right ones to drive forward. So I think it's okay to load up with options for free, basically. On the Permian, you'll see some fabulous benchmarking from Dave Lawler when we go visit the Permian. And you might...
Bernard Looney: We always see fabulous benchmark.
Murray Auchincloss: And you might actually find out that we're number one in the basin on development on frac spread length and EUR per well. You might see that in the benchmarking. You might look yourself ahead of time. So Dave's got a very positive outlook there. We've obviously got the first central gathering station, Flowing Grand Slam, Dingo should come up online, hopefully, ahead of our visit there. That will be great news, two or three more to develop over time. Very, very low emissions, recirculated water, electric drive -- electric drive, frac spreads, just incredible stuff that...
Bernard Looney: First certified natural gas, I think.
Murray Auchincloss: Yes, stuff I never would have dreamed about as a kid growing up in the oil and gas patch in Calgary. So it's an amazing story, and they are driving technology at the leading edge on frac and recovery. And I think you'll find from the benchmarking work they do that we're beating the pants off everybody. But let's wait for Denver to understand that, but we continue to see great promise moving forward. And Dave will give you a great description of that.
Bernard Looney: Great. Excellent. Another reason to come to Denver. Lucas?
Lucas Herrmann : Thanks very much, Bern. Thanks so much, Murray. Lucas Herrmann, BNP Paribas. A couple, if I might. The first, I just wondered if you could talk about Archaea integration. There have been some management changes, which given the initial statements, one could argue was slightly surprising. In other ways, are probably not. But just progress on Archaea particularly build out, not least as waste management companies, also seem to be more active in the space and trying to grab opportunity? And secondly, just commentary around Mad Dog discovery and the tieback to Argos and if you can give any indication of -- I presume that just will allow you to remain at plateau for an extended period, but just scale and opportunity. Thanks
Bernard Looney: Yes. No, thanks, Lucas. I think Mad Dog Phase 2, a little later than we had expected. Now it's online. It seems to be doing very well, four wells online. I think, Gordon, a fifth this weekend. And I won't get too ahead of myself, but more to come here in the next couple of months. So that's looking good. And you -- I mean, you answered the question quite rightly, which is there will come a point in time when that field like the mall is on decline, we want to make sure that we keep the facility full. The best way to do that is to drill nearby. We've drilled nearby. We found something. We feel pretty good about it. And that will likely be, I don't know, 3, 5 well tie-back in the fullness of time that we'll have, as you would expect, fabless economics. So that's on that. And on Archaea, I think the most important thing there is Starlee Sykes is now in leading that business. Starlee ran our Gulf of Mexico business. Many of you will have met her. She ran it successfully for many years. She's one of our most trusted leaders. And as I remind people and as we remind each other, this is a BP business. Archaea is no longer Archaea, it's BP. And we wanted to be run by our people, making sure that we've got the right standards in there that we've got the right culture being built and to make sure that we leverage our company properly in accelerating delivery. And therefore, it makes sense that we put our own management in there, so to speak.  Starlee is going to do a great job in Denver dare I say it. She will come and present on the early days of what that looks like. We've got -- how many sites to build out? 
Murray Auchincloss: 80. 
Bernard Looney: 80 sites to build out over the next several years. We remain confident of our $500 million EBITDA target from that business by 2025. I think the EPA recently did some updates on their allocation mechanism or whatever it is, that has strengthened rent pricing in that business. So the fundamentals remain very, very strong. A great resource base albeit in landfills that would otherwise be damaging the environment.  A great opportunity for us to capture that, build out these facilities over the next several years, optimize them hugely through Carl's business on the trading side. Does it go into power, does it go into transportation, where can we create the most value? We're looking at capturing carbon at the sites now and take advantage of the higher rate, capture the carbon at those facilities. We might also capture the carbon and take it to our refinery and make fields out of it because it's biogenic carbon, again, the list goes on. So we just are really, really excited. I'm delighted that Sterling's in there. She's got our arms around the business. We reviewed it with her and Gordon, a couple of weeks ago and Carol. And we're feeling really, really good about it. And -- but it's early days, and there's plenty of work to be done and building out these sites is straightforward. It's not technically complex, but it's local and so on and so forth. But we're feeling pretty good about that business right now.  Anything to add? And you'll see us do more of getting our management in on day one as we go forward. We're doing that on TA, for example, right now. Where else? Alistair?
Alastair Syme: Thanks so much. Murray, you mentioned Mauritania and Senegal in your list of gas basins. So what needs to happen to progress further development? And then secondly, Bernard, I call it get outside about politics. I'll ask you about German politics this time. But you referenced in Germany that the future market is going to be short of green electrons.  That has a price implication. Do you think politicians understand that this is probably not deflationary? And I guess more importantly, are you happy sanctioning development on that basis given that in the last year or so, politicians in Europe are pretty happy to cap and tax the industry on something that they think should be affordable?
Bernard Looney: Yes. I mean on -- certainly I won't comment on German politics, I know even less about that than I knew about U.K. politics. So I won't go there. But I think the fundamentals are strong for what we're trying to do in Germany, Alastair. I think -- and let's not come at this necessarily just from a climate standpoint because that's where the conversation goes, and can people afford this and there's an inflationary and so on and so forth.  What Germany is doing with its ambitions that it has around offshore wind and its ambitions that it has around hydrogen, how much it will develop at home and how much it will import, yes, of course, it's influenced by climate change. But it's actually driven probably most today by energy security. It's what the country needs.  And the only way that the country is going to diversify -- it's going to find it very difficult to do solar in Germany. The politics of that are probably difficult, as any populated country will understand. And it will look to places like offshore wind to not just supply green electrons but to supply electrons, period. So our view is that there is, of course, a price to be paid here. In many ways, we're having to build a new energy system. And that's unquestionably got a cost. But as we look at it and as we look at what our business is doing in Germany, then I think this is a very, very good investment for us. We feel very confident in the outlook. You can look at any of the forward curves, you can look at your outlook for carbon prices, you can look at your outlook for natural gas prices, you can look at your outlook for demand for electrons, period, all of which factor into the economics of this decision as well as the cost to build as well as the premium that we've paid.  And our view is that on balance, this will end up being a very good use of our capital, limited as we will make it. And we will limit the capital. This will be very, very capital light. But we will have a need, and we believe we'll supply that need cheaper and more securely by doing it ourselves than we would if we had to do it in the marketplace.  Mauritania and Senegal?
Murray Auchincloss: Yes, what was the question on Mauritania and Senegal? Yes. So Phase 1 continues. We're looking forward to getting that online next year -- first quarter of next year. We just really need to come together -- with agree the concept, the engineering concept with our partners and the government and then agree share of rent, where the rent goes and how the LNG is priced. So it's an ongoing conversation.  Right now, we're really, really focused on getting Phase 1 up and we'll see over time what pace the development of Phase 2 takes. And we remain confident that there's lots of gas resources there. We just have to work through the technical decision and the commercial sharing of rent. It's not a lack of gas resource.
Bernard Looney: Behind Lucas here. Henry, Henri? What would you prefer?
Henri Patricot : Either one is fine. 
Bernard Looney: Can you call me Bernard or Bernard? I don't mind. Henri go for it.
Henri Patricot: Henri Patricot from UBS. Two questions. The first one, just going back to the production guidance for the year. You expect it to be higher year-on-year. What's been working better than expected here? And then secondly, thank you for the enhanced disclosures for the transition growth engines. Just talking perhaps on EV charging, EBITDA still negative in the first half of the year. Can you perhaps talk about what is the trajectory here of profitability varies perhaps depending on different markets? Thank you. 
Bernard Looney: Very good. I'll take the EV charging one, maybe. And production, Murray what's caused you to have confidence in your production outlook for the year in oil and gas, I think, oil and gas question. On EV charging, we got three main markets and an emerging fourth market. So we've got China, Europe and the U.K. I guess U.K. is part of Europe, but you understand my -- so China, Europe, U.K. and the emerging one is the United States.  So in places like Spain, for example, where I was recently, we have a partnership with Iberdrola, I think we've committed EUR1 billion this decade to build that charging network out between the two of us. Germany, we're at number two in fast charging in Germany today. We were number one. We must have slipped to number two, I think we'll be back to number one, I hope, sometime in the future. But we're there or thereabouts as the largest. And then we're building a very resilient network here in Britain.  In China, it's -- that market is definitely electrifying. I think it's either 30% or 40% of new vehicles are EV today that are being bought in the market. There is no question what China is doing, and we're seeing it in the utilization rates. And it's the utilization rates that are then driving the fact that China today is EBITDA positive. The same is true in Germany, where we are seeing not really a slowdown in the purchasing of these cars, the utilization is on the up and therefore Germany is also EBITDA positive today. It's obviously a growth business. We have to invest. But we do expect what is a negative EBITDA business today to turn into a positive business by 2025. We did, as I said in the script, announced that now that we have the land in America, we announced that we sanctioned $0.5 billion with AMAP [ph] to build out our charging network in the United States. That's over the next two to three years and then we'll go beyond that. We'll take advantage of the TA network, of course, and start putting chargers down there. But this partnership where we are building GigaHub, and this is where we can charge 100 cars at one time at major airports like Houston Hobby is really begin to take off. So U.S. is quite exciting for us. And you'll have seen the price changes that are happening in America on the new EV purchases, which are making the purchase of an EV vehicle more and more attractive.  And as I always say, there's an F-150 electric, which I think they increased the price of by 14% or 15% because the demand is so high for it, which is quite extraordinary. So this is an exciting business for us. We are feeling good about it. We're learning a lot about the business. Lots of opportunities to optimize.  You may have met Robin Beevers at some point, BluePoint Power, a company that we bought a couple of years ago that's focused on residential power, our power in buildings and how to manage power in buildings and how to optimize it. They're actually helping the EV people where to place the chargers. And that software and that insight of the market and the knowledge can make a huge difference in the EBITDA profile of a charging location. And we think that their help alone has made us a couple of hundred million dollars of EBITDA in that business in the United States alone as it comes online over the next several years. So we're learning a lot. We're excited about it. And right now, China, Germany, where we're seeing the highest utilization, very EBITDA positive. And by '25, we expect the entire business to be EBITDA positive. Production, Murray?
Murray Auchincloss: Yes. We upgraded our production outlook for 2023, as you noticed. And that's really -- congratulate -- I'll follow Lucas' example, congratulating Gordon again. Congratulations to Gordon again for great performance inside BPX and great performance inside the Gulf of Mexico, so as the two principal places that are well ahead of where we thought they would be, Mad Dog is producing from four wells 70,000 barrels a day. That's a stunning performance from the reservoir. That makes us really excited.
Bernard Looney: You told me I couldn't say that.
Murray Auchincloss: No, it's public. It's public data after the fact. I said you couldn't say the sequence of new wells coming online because we don't want pressure on the teams. But just fabulous performance out of the lower half, lower 48 and out of the Gulf of Mexico which has encouraged us to upgrade our guidance for the year. So very pleased with that. And thank you, Gordon.
Bernard Looney: Yes. And while Tangguh is late, it's probably a little earlier than we had anticipated for -- those of you interested in big pipelines, which we count ourselves. There is a 48-inch pipe there and a 60-inch?
Murray Auchincloss: 80-inch.
Bernard Looney: 80-inch pipeline, can you imagine? An 80-inch, yes, a 74 and an 80-inch or something like that extraordinary. So thank you. A question back here, please. Peter?
Peter Low: Hi, thanks. It's Peter Low from Redburn. So my first one was just on the financial framework. You talk about kind of 40% of excess cash flow going to the balance sheet. But actually kind of net debt's increased over the past year kind of despite the strong commodity price environment. Kind of based on your guidance today, should we think that now begins to come down as we look into the 12 months ahead? And then the second one was just on OP&O. The gas realization was a little bit weaker than I have expected. Is that just reflective of kind of the weaker kind of spot price environment? Or is there anything else going on there? Thanks.
Bernard Looney: Great. Murray.
Murray Auchincloss: OPO gas, a little bit weaker than you expect, 50% down as opposed to 35% on the marker. That's just the lag on NBP. So the U.K. prices lagged NBP and that's what's driving that difference. It will reverse itself over time. Eric can help you if that doesn't make sense, but that's the reason for that one.  A second priority inside the framework is to reduce net debt. Yes, we've been reducing net debt. I think, 14 quarters in a row, we've been reducing net debt. Yes, it goes up this quarter. Why did it go up this quarter? Obviously, we had our Deepwater Horizon payment and then we had TA, which is the $1.1 billion of capital and the assumed debt that we get with it. So it's an increase of $1.6 billion for TA. That's not a bad thing. TA comes with $800 million of EBITDA. That's accretive to rating. So we shouldn't necessarily just obsess about net debt. What's important for the rating is cash cover ratio. And TA, although it drove net debt up, is really good for the rating as it's accretive. And we like that. It gives us diversification and it gives us accretion on the rating. So we think that's very positive.  As we move forward, no change for 2023, 60-40. And you've heard how we're thinking about surplus in the second half of the year. I would expect 40% of that surplus to go to the balance sheet to continue strengthening and as well dependent, of course, on what the oil price is. I hope that helps.
Bernard Looney: Great. Thanks, Murray. Martin? Been patiently waiting here at the front, who's over here, next.
Martjin Rats: I just have two questions. One, I'm sure Murray might not actually answer this, but I'm going to ask it nonetheless. If I wanted to ask if you could reflect on the weakish oil trading results. Because if you look at the oil markets in the second quarter, all the things that didn't work are working particularly well in the third quarter. So I was wondering if you could tell us a little bit about like is this a bit of a tumble every quarter? Or can we sort of expect that weak quarters and strong quarters and weak quarters and strong quarters sort of should alternate each other? I would be quite interested in that. And secondly, on Kaskida, of course, got quite an interesting project given that it sort of come back after many years. I was wondering if there are any milestones that we should be looking out for and sort of the time frames that are associated with this project.
Bernard Looney: Great. Thank you, Martin. So rather than Murray not answering it, why don't I not answer it? So I don't think volatility is cyclical on a quarterly basis, its driven by more than the calendar. So yes, I think we'll say nothing more than it was a weak second quarter. It's probably -- I think the one thing that you can say as you look forward in the world in general, and it applies to the energy markets particularly and therefore it will have an influence on trading over time, is that the energy transition is complex.  And therefore, complexity will likely lead to volatility. And as everybody knows, volatility is constructive for a trading business. So I won't comment on third quarter volatility. I don't think you're incorrect, but we'll leave it at that. And Kaskida, yes, we were just saying this morning. We discovered it in 2006. It's a big, big resource, a lot of oil in place. And the question was how to recover it economically. It's a good story, I think, of the company retaining an option. And we retained that option over many, many years. At the same time as us doing that, the industry has moved forward. 20k rigs have been built are in operation. People have been successful with not just the technical aspects of the developments, but also increasing the learning around how these reservoirs produce. And both of those things are encouraging for us. So we're encouraged by what we see others do.  We feel that its time has come. It has entered concept select. Unusually, it's 100% BP. And our job now and the team is focused on working through that optimization and getting us to a project that we can develop that's economic. And that's what we're focused on doing. And at the same time as we're doing that, we're focused on Tiber, which is at an earlier stage in the thinking, so to speak. But if Kaskida enters the frame, there's no reason why Tiber wouldn't also enter the frame. So just watch this space over the coming quarters as we get more engineering definition, cost definition around the concept. But this is one that should see FID, if it will, in the next two to three years, I would think. So that's how I would think about it. Kim? Christian has joined us at the back, I think.
Kim Fustier : Thank you. Just on the Numet [ph] deal, first of all, I understand the ADNOC side of the transaction is still being worked out, but I was just wondering what was taking so long to finalize the deal.  And secondly, I wanted to hear your thoughts on the attractiveness of the U.K. as an investment destination for upstream and low carbon in light of recent changes, such as the change to the U.K. and the profits levy, the announcement of new licensing rounds and government support for CCS? Thank you.
Bernard Looney: Great. So what is taking so long? These things just take some time and we're working through the process. I don't think there's anything that's of particular note. We're involved in a public company and it takes time to go through the necessary processes. So it's not a signal of something amiss, so to speak. It's just that these things take time and the intent remains very clear from all parties, I think, to close this transaction.  And then on the U.K., I think let me just say generically what I would say and what I've said this morning to some of the media, we're supportive of any policies or directions which acknowledge that the world needs a rapid transition and it needs an orderly transition. And for us, that means and not or strategy, for us in the U.K., that means investing in the North Sea and investing in the transition. And that's what we're doing.  We probably have the most diverse energy strategy of any company probably in Britain. We're involved in oil and gas today. We're drilling. We're on a 5-well campaign, I think, west of Shetlands today that's drilling. We're bringing on Seagull later this year. And we'll continue to look at licenses and investment decisions there based on the information that we have at the time. And at the same time that we're doing that, Lightsource BP is developing solar projects. In fact, I think they developed the biggest solar project in the U.K., as far as I know. We're in offshore wind in the U.K. or in the Irish Sea, which is looking good, by the way, and in Scotland. We're in green and blue hydrogen at Teesside. We're in net zero power or low-carbon power at Teesside, we're in CCS. We're building out an EV charging infrastructure here in Britain, focused on fast charging, which is going very well. I was at our Hammersmith site with the team a few weeks ago, utilization levels, record utilization there.  So we are active and we're importing LNG into the country. So we're active right across the spectrum, and that should give you a sense of how we see Britain as a place to invest. We're going to invest up to GBP18 billion in Britain this decade. And of course, every decision is taken on the basis of the facts known to us at that time. But that's probably all I will say on that. Christian, did you want a question? And then I think we're...
Christyan Malek : Christian Malek from JPMorgan. Most of my questions have been answered. But I sort of want to come -- two questions, one on the capital frame. And this is -- no one is ever going to complain about a dividend increase. So thanks for that. But I sort of -- it sounds to me that there's a lot of upside through both your projects, the reversals in trading. So I just want to understand more just conceptually the logic of raising the dividend when you could just put more into buybacks. I mean, it's the third time you've raised the dividend in the last 12 months. And yes, you've lowered the share count, but the math doesn't square entirely.  So I kind of want to understand why you didn't just fully -- and maybe this is a rhetorical question, your shares achieved you're clearly more constructive on the macro outlook. So why not put it all in buybacks? So it's again, it's not a complaint about or challenge in the capital frame. It's more just -- just if you could share some of that logic if the shares are cheaper, if you will, in terms of where they are today. And the second question is just trying to pick your brain around -- where would you -- if you sat down and sort of challenge yourself around where could you be wrong on the macro, whether it's refining, gas, power prices or oil. How would you frame, on a sort of scale of 1 to 10, where you're probably most bullish across your portfolio, whether it's oil prices, refining? I just want to understand to what extent are you being procyclical across different parts of the business in thinking about your outlook on the medium term? Thank you.
Bernard Looney: Thanks, Christyan, I'll let Murray take the first question. I mean, I think on the second question, we all have views on the outlook for different product streams. And of course, the reality is we never quite know. I can create a very strong case for oil. Why would I do that? I think everybody is talking about global economic growth and what's happening there. Everybody is talking about what's happening in China. And yet, we probably will see an excess -- or in excess of 2 million barrels a day of demand growth in oil this year. And we expect that to continue into next year. Maybe not at the 2 million, but certainly well in excess of 1 million.  So you look at that, you look at the fact that OPEC+ remains exceptionally disciplined, if not increasingly disciplined and show no sign of changing that tack. And I guess in discipline, you also look at the U.S., where I think the rig count has fallen to the lowest level now since February of last year, down by, I think, 20%. I think oil rigs down 12, gas rigs down 12% oil -- gas rigs down more. So I can create there a situation where you described the outlook for oil prices to be strong over the coming months and years. We, of course, know that there are numerous uncertainties, and we go further on plan on that basis and that's how we run the company on the basis of a $40 oil price, a $3 Henry Hub price and an $11 RMM. And we have no intention of moving away from running the company on that basis because we believe that's the prudent and right way to run the company. And if oil prices and refining margins and gas are higher, then so be it. We want to make sure that we take full advantage of that, and Murray will talk to how we allocate the surplus cash.  Gas, you go through a similar story. Europe, you'd say better positioned than last. Of course, storage levels mean we're in a much better position than we were last winter. Does that mean that we're out of the woods? You can't say that. Why not? Because there was a lot of demand destruction last winter, maybe 20% to 25% in industry.  What happens to that is, what does that mean, does it return? We don't quite know the weather, which we all see. So there are many things that are uncertain there. I think the 1 thing that you can expect through all of these product streams is probably a lot of volatility, probably more so than we have experienced in history. But you may wish to add to that, Murray. And obviously, then the conversation about why not more buybacks.
Murray Auchincloss: Yes, I guess we're just -- the only thing I'd add is we run the company for a low breakeven and we'll take the upside. And so we run it on the balance point of $40, and we sanction projects at $50, $3 Henry Hub. So we run it very prudently. And then upside -- is upside, I think, is the only thing to add. On the capital frame, dividend versus buyback, I think the hint is in the ordering. So the hint is in 1, 2, 3, 4, 5. Our first priority is a dividend. We have the capacity to grow at 4% per annum. And above all else, we want that dividend to be resilient at $40, $11 and $3, and we will continue to increase it over time while we can keep that balance point alive and well and healthy in the event the macro turns against us. But that is our first priority. And that gives you the hint of how we think about dividend versus buyback through the frame.  Obviously, we've retired 9.2% of our share count over the past 12 months, 10% is a bit higher. Obviously, performance, as you can hear, we're performing really, really well. Updating the production guidance in 2023, so a huge sign of confidence to do that halfway through the year. So I just think we have an awful lot of confidence in the business moving forward. We'll focus on that $40, $11, $3 balance point as we approach the dividend, and it is the first priority for shareholder distribution.
Bernard Looney: Great. Excellent. Thank you, Christyan. Any other questions? And we have no questions online. And we didn't -- Craig, anything else from you? And you didn't write me a close so I'll have to adlib. So thank you all very, very much. I think we just say that we continue to focus on delivery. The company is very focused now on 2025.  We have what we call a drive to '25. We're very clear on what our numbers are, what our targets are for 2025. We fully expect to deliver on those. We've got 10 quarters. That's hugely important to us. So it's head down inside the company. We're executing simply on the plan that we have laid out. Nothing more, nothing less. I'm really proud of the team, many of the leadership are in the room here today, but the team throughout BP, very grateful to them for everything that they do.  We thank you for your interest in our company. We hope you get a break over the holidays. We're certainly hoping to get a break over the August period, and let's leave it at that. So thanks, everybody. Thanks for taking the time to join us. Appreciate it.